Operator: Good afternoon, and welcome to StandardAero's Fourth Quarter and Full-Year 2024 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Alex Trapp, Chief Strategy Officer. Please proceed.
Alex Trapp: Thank you, and good afternoon, everyone. Welcome to the StandardAero's Fourth Quarter and Full-Year 2024 Earnings Call. I'm joined today by Russell Ford, our Chairman and Chief Executive Officer; Kim Ernzen, our Chief Operating Officer; and Dan Satterfield, our Chief Financial Officer. Alongside today's call, you can find our earnings release as well as the accompanying presentation on our website at ir.standardaero.com. An audio replay of this call will also be made available, which you can access on our website or by phone. The phone number for the audio replay is included in the press release announcing this call. Before we begin, as always, I would like to remind everyone that today's earnings release and statements made during this call include forward-looking statements under federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Such risks and uncertainties include the factors set forth in the earnings release and in our filings with the Securities and Exchange Commission, including in the Risk Factors section of our quarterly report on Form 10-Q for the three months ended September 30, 2024 and our Annual Report on Form 10-K for the year ended December 31, 2024. We assume no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Additionally, during today's call, we will discuss certain non-GAAP financial measures such as adjusted EBITDA, adjusted EBITDA margin, free cash flow and net debt-to-adjusted EBITDA leverage ratio. A definition and reconciliation of these measures to the most directly comparable GAAP measures can be found in our earnings release and in the appendix to the slide presentation on our website at ir.standardaero.com. Non-GAAP financial measures should be considered in addition to and not as a substitute for GAAP measures. I would now like to turn the call over to Russ.
Russell Ford: Thank you, Alex, and thank you to everyone for joining our earnings call today. Before discussing our performance, I want to take a moment to recognize StandardAero's team for their outstanding contributions, their tireless effort and customer-focused mindset, which led to our results. Their dedication to this company and our collective pursuit of excellence shaped the foundation of our vision for StandardAero's future. It goes without saying that 2024 was a historic year at StandardAero, and I couldn't be more inspired as the leader of this team about where we're going in 2025 and beyond. I'll start my remarks on page three of our earnings presentation by reviewing some of our key highlights from 2024. It was the year for the record books at StandardAero. We continued to deliver outstanding growth and financial performance, supported by robust market demand on the engines we service and driven by strong execution. Combined, these factors enabled us to grow our adjusted EBITDA by 23% for the year with accelerating growth in Q4 of 37%. The environment remains extremely positive with the commercial aerospace market front and center throughout the year, exhibiting 25% growth in 2024 and an even stronger 33% growth in the fourth quarter as demand continues to outpace capacity. We achieved all of this despite a market that is still working through challenges in the supply chain, the delayed parts availability and a few one-off headwinds like the temporary V-22 grounding that impacted one of our key military platforms. In short, it was a terrific year financially speaking. 2024 was also a banner year in terms of making significant progress in executing our strategic plan. During the year, we invested well over $100 million in our major program initiatives that will position us for accelerated growth and success for the future. Starting with LEAP, our greatest strategic priority going into 2024 was to get this program off to a strong start. And I'm happy to report that we accomplished everything that we had planned on this front. The industrialization of our state-of-the-art LEAP MRO line at our flagship 810,000 square foot facility in San Antonio, Texas remains on track and achieved all milestones we set for 2024. Our facility is up and running. And during Q4, we completed correlation of our first test cell for LEAP 1A engines, which follows the LEAP 1B correlation in the prior quarter. Correlating our test cells was a major milestone towards opening up our ability to conduct full overhauls on both the LEAP 1A and 1B that power the next-generation A320neo and the Boeing 737 MAX family. In addition, as of the end of 2024, we have industrialized over 260 LEAP component repairs within our CRS segment. We're very excited about these repairs, and I think they will be a key differentiator for our LEAP offering going forward. These capabilities will drive strong high margin growth within our CRS segment as we sell these repairs both internally and to third parties. These repairs will also provide a competitive advantage for our LEAP Engine MRO business by enabling us to better control costs and turn times. The breadth and speed with which we're able to industrialize these repairs speaks to the strong development expertise within our CRS business and the differentiated relationship we have with GE and Safran. We believe we are actually the first repair business outside of the OEMs themselves to industrialize all of the known LEAP repairs that exist at this point. Because of this, we believe that the OEMs are very happy with our progress and view us as go to partners for continued introduction of new LEAP repairs. Importantly, we inducted our first LEAP engines during the year, including our first performance restoration shop visit induction in December. We're excited to be able to deliver the same exceptional service to our current and future customers that we've done for over a century. It's still early days in this multi-decade program and we have more to do as we complete our physical industrialization in 2025, ramp capacity and throughput and begin to move down the learning curve, but we're very pleased with the progress we've made to date and the long-term outlook for this program remains incredibly strong. We're also seeing the demand side really start to accelerate, particularly over the medium to long term. Our pipeline of LEAP opportunities grew significantly this year and our new wins are really starting to build momentum. So far, we've signed agreements with nine different customers, representing future revenue of over $1 billion, all before we shipped our very first engine. These awards include a five-year agreement with Avianca and our most recent announcement, a large 15-year agreement with a major operator in the Middle East. These awards highlight our reputation, global reach and differentiation in the marketplace as a designated LEAP premier MRO. It's also worth noting that during Q4, we received maintenance organization authorization on the LEAP from the Chinese aviation regulator CAAC, which now opens up another very large and growing market. It's safe to say the outlook for LEAP remains very bright and we're excited about the immense opportunity that lies ahead of us on this program as it ramps. We also made significant progress investing to build capacity and further differentiated capability on other high-growth platforms. In August, we opened the second building at our Dallas-Fort Worth campus, which will be home to our dedicated CFM56 Center of Excellence, which more than doubles our CFM56 capacity and adds two test cells to strategically position ourselves to capture share in this very large market. We're excited to bring this capacity to the market in a highly strategic location in Dallas and have already begun inducting engines at that site. Additionally, in April, we began a significant expansion of our Augusta, Georgia facility focused on our business aviation customers, which will allow us to meaningfully increase our engine shop capacity and throughput. This footprint expansion also allows us to support additional super midsized and large cabin aircraft for airframe and avionics MRO, which is a key differentiator in winning work on incremental business aviation engine platforms. We're excited to cut the ribbon on this expanded facility later this year. In addition to our physical capacity investments, in Q4, we reached an agreement with GE to expand our license and relationship with them on the CF34 narrowbody platform. The CF34 has long been a major engine platform at StandardAero. We've now signed a new 10-year agreement that includes expanded commercial scope and will significantly increase our annual earnings on the program. We're excited about this continued partnership with GE and believe this opportunistic investment solidifies the foundation for another decade of outstanding growth on the number one regional jet platform in the world. As we capitalize on existing market opportunities, we remain committed to maintaining the highest standards of operational excellence and continuous improvement within our business. We've consistently expanded our enterprise EBITDA margins and this year was no exception where we grew our adjusted EBITDA margins by 90 basis points. A good example of one of these initiatives has been our insourced component repair content, which we grew by over 40% last year. That's been a big area of focus for us really ramping up our synergies between our Engine Services and Component Repair Services segments, and we think this continues to represent a big opportunity to accelerate growth and further enhance our competitive differentiation for the future. We are also particularly excited to have Kim Ernzen on board as our Chief Operating Officer. She brings deep aerospace expertise, coupled with a strong track record of successful results. She will further drive growth through our two segments, continue optimizing our proprietary operating system and standardize its use across the enterprise. On the M&A front, we talked in detail about the Aero Turbine component repair acquisition last quarter and that integration has gone very well. The businesses are sharing best practices and we're already starting to realize our synergy plan. So we remain very pleased with that acquisition. We also further solidified ourselves as a key player in the next-generation of commercial flight by expanding our relationship with Boom Supersonic, which just completed its XB-1 demonstrator program. The first American civil supersonic jet, XB-1 successfully broke the sound barrier six times with no audible sonic boom. Finally, we made the landmark decision to take this 100-plus year-old company public by completing our IPO in early October. Additionally, after our IPO, we were able to refinance our debt, significantly reducing our leverage and improving our credit ratings profile, ultimately resulting in over $130 million of annual interest savings. This will further bolster our earnings and cash flow profile as we move forward in 2025, along with creating additional capacity for accretive acquisition opportunities. Overall, reflecting on the past year, I'm quite proud of all these achievements across our business and enthusiastic about our position for growth and market success in the coming years. Moving on to page four, I'll touch on a few market and financial highlights for the year before Dan discusses our results and full-year 2025 outlook in more detail. We continued to generate strong revenue growth of 15% in 2024 and 22% in Q4 with excellent performance from both our Engine Services and Component Repair Services segments. We're continuing to see strong demand in the commercial aerospace aftermarket, where we saw 25% growth in 2024 and 33% growth in the fourth quarter. Sales to the business aviation end market grew 8% last year, with particular strength on the HTF7000 program, where we are the worldwide exclusive independent MRO provider of heavy engine overhauls. In our military and helicopter end market, revenue increased slightly compared to the prior year, overcoming a headwind related to the volume declines in the AE 1107 platform, following the temporary grounding of the V-22 Osprey between December of '23 and May of '24. The V-22 has returned to run rate operations, and we continue to see steady demand on other platforms within this end market. Moving to earnings. Adjusted EBITDA increased 23% in 2024 and 37% in the fourth quarter, reflecting strong growth in both segments, leverage on our fixed costs and a favorable mix, particularly in our Engine Services segment, where we saw lighter material content work scopes with higher labor content that led to stronger margins on those engines. Adjusted EBITDA margin expanded by 90 basis points year-over-year. Now that we summarized 2024 results, let's move on to page five and talk about what we expect to accomplish in 2025. We're expecting 2025 to be another great year where we will deliver double-digit growth on both the top line and the bottom line. Dan will get further into the details in his section. But to give you a preview of our guidance, we're projecting revenue between $5.8 billion and $5.95 billion this year, underpinned by the continued strong demand we're seeing across our end markets, particularly in the commercial aero market, where we're seeing low double-digit to mid-teens growth for the year. Our 2025 guidance calls for adjusted EBITDA of $770 million to $790 million, including continued margin expansion based on our performance excellence initiatives and growth of our high margin CRS business. Let's get into the priorities for the year, which will be familiar as we continue to achieve major milestones on our primary strategic initiatives. At the core of our strategy is to deliver exceptional aerospace services powering our customers' missions worldwide. This means continuously improving our capabilities and ensuring that we are the MRO partner of choice in the industry. To support this, we're focused on growth opportunities and streamlining operations to drive efficiency and enhance profitability in a few areas. First, on the LEAP program, our priority remains finalizing the build-out of our line at San Antonio this year, so that we can be in the best position to meet the increasing demand on this platform. We will deliver our first performance restoration shop visit this year, a major milestone going from new engine contract to PRSV delivery in just over two years. Plus, we'll continue to pursue additional long-term customer programs as a trusted partner to major airlines. Second, we want to make sure we capitalize on our major investments in the CFM56 and CF34 current generation narrowbody platforms to leverage capacity at our new Dallas-Fort Worth shop and take advantage of strong demand we're seeing in both markets. Third, component repair is a big strategic driver for us and continuing to develop new repairs and accelerate expansion of that business is a top priority. Last year, a lot of focus was on industrialization of the LEAP repairs that I talked about earlier. Looking forward, we will accelerate the pursuit of opportunities to introduce new repairs on other platforms in alignment with our OEM partners. We'll also continue identifying and executing on additional insourcing opportunities, thus capturing profit back into our business and expanding our process intellectual property as well as enhancing our ability to control cost and turn time. Finally, we'll continue to pursue accretive M&A opportunities from our pipeline that complement our existing portfolio of engine and component repair offerings. Our priorities are centered on strengthening our long-term competitive position and delivering service excellence to our customers, a sustainable company for employees and consistent and predictable compounding returns for our shareholders. Clearly, we're excited about our performance and our trajectory. With that, I'd like to turn the call over to Dan Satterfield, our Chief Financial Officer, to walk through our results and outlook in more detail.
Dan Satterfield: Thank you, Russ. I will begin on page six with some highlights from our fourth quarter results. For the fourth quarter ended December 31st 2024, we generated revenue of $1.4 billion as compared to $1.2 billion for the fourth quarter last year, representing 22% growth or 20% if you fully pro forma for the acquisition of Aero Turbine as if it had occurred at the beginning of 2023. That brings 2024 full-year revenue growth to 15% versus 2023 or a circa of 14.5% fully pro forma for ATI. We saw strong growth at both our Engine Services and Component Repair Services segments, which I will get into in a moment. Adjusted EBITDA increased to $186.2 million for the fourth quarter of 2024 compared to $135.7 million for the prior year period, representing 37% growth as a result of the revenue growth and higher margins from favorable engine shop visits and work scope mix, pricing, productivity improvements and continued growth in our higher margin Component Repair Services segment, including the acquisition of Aero Turbine. With a strong Q4, adjusted EBITDA for the year was $691 million, representing 23% growth over 2023. Moving to net income, we recorded a net loss in Q4 of $14.1 million, primarily due to the impact of non-recurring costs, including $29 million of one-time refinancing costs, $26 million of IPO-related costs, including catch-up stock compensation expense tied to our 2019 pre-IPO equity plan, as well as $18 million of costs related to acquisitions, integration and start-up costs in our LEAP program and CFM56 new facility investments. Full-year net income was $11 million, including the full-year impact of the same non-recurring costs noted above. Free cash flow for the fourth quarter improved to $57.1 million, reflecting solid operating cash generation and was also offset by several one-time items related to the IPO and refinancing activities and additional costs tied to the industrialization of LEAP and CFM programs. On a full-year basis, free cash flow was negative $45 million, also including one-time effects that I will describe in detail further on. I would also note that both net income and cash flow were burdened by higher interest expense associated with our pre-IPO capital structure before we delevered with the IPO proceeds and refinanced our remaining debt at lower interest rates. Now moving on to our two segments, starting with Engine Services. Engine Services revenue increased $595 million to $4.6 billion in 2024, representing 15% growth compared to 2023. Revenue from the commercial aerospace end market was up 26% compared to the prior year period on strong demand across both our narrowbody turbofans and our turboprops businesses, particularly on the CF34, RB211 and Pratt & Whitney Canada turboprops platforms. I would note that this growth was not meaningfully driven by our LEAP or CFM56 Dallas Center of Excellence businesses as they are still very early in their development. Moving to business aviation, revenue in that end market grew 8% compared to 2023, driven by a sustained strength across the platforms we service, particularly the HTF7000. Offsetting these gains was our military and helicopter end market revenue, which declined 3% compared to the 2023 period, primarily from lower inductions on the Rolls-Royce AE 1107 engine, which powers the V-22 Osprey and was impacted by the temporary grounding of that platform earlier in the year, as Russ mentioned. On the earnings front, Engine Services adjusted EBITDA grew 18% in 2024, driven by the strong revenue growth. Margins were up 33 basis points, largely due to work scope mix and lower pass-through material content across the platforms we serve. Our Component Repair Services segment saw 2024 revenue increase 15% compared to 2023 to $592 million or 13% fully pro forma for the acquisition of Aero Turbine. CRS sales for the commercial aero end market grew 17%, all of which was organic with our military and other end markets growing 12% or 8% pro forma for ATI. Over the year, CRS adjusted EBITDA grew 23%, which was driven by our revenue growth and over 170 basis points of margin expansion to 26% for the year, driven by operating leverage, productivity improvement initiatives and good performance at ATI. Now moving to page nine. I'll dive a little deeper into our free cash flow for the quarter and the full-year. We saw positive free cash flow of $57 million for the quarter, despite being burdened by a number of non-recurring outflows, including $26 million of IPO and debt refinancing related costs. On a full-year basis, our free cash flow was negative $45 million, burdened by $27 million of IPO-related expenses, $24 million of debt refinancing fees and $6 million of acquisition and integration costs. In addition to these one-time expenses related to our IPO, capital structure and M&A activities, we continue to make substantial platform investments, which will lay the foundation for growth at StandardAero in the future. In fiscal year 2024, we invested $116 million in major platforms, including $75 million on LEAP, $20 million for our CFM56 facility at Dallas-Fort Worth and $20 million related to our expanded CF34 license. These values include $43 million of start-up costs on LEAP and CFM as we ramp on those platforms in San Antonio and Dallas. As Russ previously mentioned, in addition to our physical capacity investments, we reached an agreement with GE to expand our license and relationship with them on the CF34 platform. The total investment for us will be $50 million, with $20 million played in Q4 of last year and the remaining $30 million in the first half of this year. And we expect with this new arrangement to generate in excess of $10 million of incremental EBITDA annually beginning in 2025. Finally, as previously mentioned, we closed on a full refinancing of our capital structure following the IPO, associated debt paydown and credit ratings upgrade. As a result of this activity, we expect our go forward cash interest savings to be greater than $130 million going forward. It's important to note that many of these discrete cash outflows will not reoccur in 2025. And as a result, we expect to see meaningful improvements in cash flow going forward. Moving on to our balance sheet and liquidity on page 10. As you know, we completed our IPO on October 2 and used our $1.2 billion of net proceeds from primary share sales to pay down debt. And at the end of October, we completed a refinancing of our remaining debt, putting in place a new term loan facility with an annual interest rate of SOFR plus 2.25% and a new $750 million revolving credit facility with a rate of SOFR plus 2.0%. These new rates represent a 125 basis point reduction in rate from our pre-IPO term loans, and we expect to save over $130 million of annual interest to be realized in 2025. We are also now significantly delevered to 3.1 times. And as a result, we have received a multi-notch upgrade in our credit ratings from all three agencies, putting us solidly in the BB category. While we are pleased with where we sit from a leverage perspective, we are also focused on continuing to delever the business through earnings and cash flow growth and are targeting long-term net leverage between 2 and 3 times. We believe that level provides ample cushion and flexibility in our balance sheet to invest across our strategic priorities. We are in an attractive position with multiple avenues where we can allocate our capital to drive strong returns. This includes continued focus on organic investments, winning new engine platforms like we did with a LEAP and accretive and synergistic acquisitions as we did with ATI. Underpinning all of that is a disciplined approach focused on strategic fit and return on investment, which are key criteria whenever we make a significant investment decision. Now let's review our outlook for fiscal year 2025 as shown on page 11. We are entering 2025 with a solid foundation, driven by our firmly entrenched positions on key engine fleets, visibility into new wins and capabilities to expand our portfolio. Our current outlook calls for total revenue in the range of $5.8 billion to $5.95 billion. This reflects continued strong demand in our core aftermarket services, including low-double-digit to mid-teens growth from our commercial aerospace end market, high-single-digit growth in the business aviation end market and high-single-digit growth in the military and helicopter end markets. For Engine Services, we are forecasting revenue in the range of $5.085 billion to $5.215 billion and for Component Repair Services revenue in the range of $715 million to $735 million. We are guiding to adjusted EBITDA between $770 million and $790 million for fiscal year 2025. In Engine Services, we project adjusted EBITDA margins in the 13% area and in Component Repair Services adjusted EBITDA margins of approximately 27%. Margins in Engine Services are anticipated to be roughly constant year-over-year as increased efficiency in our core engine programs is offset by initially low margins on the LEAP and CFM56 programs as production ramps up. Component Repair Services margins are expected to increase year-over-year with continued operating leverage, insourcing and pricing initiatives. Shifting to cash flow, we will generate significantly improved free cash flow for fiscal year 2025, with a range of $155 million to $175 million. This guidance reflects our growth in earnings and our reduced interest expense, as well as $90 million of investments for the final phases in our development of our new LEAP, CFM and CF34 platform initiatives and the expansion of our Augusta facility. Similar to investments in M&A, we believe these major platform investments will create strong returns and enable us to continue to deliver double-digit earnings growth over time. I would note that our guidance does not include any impacts from potential tariffs, given the significant uncertainty surrounding them at this point and that we've historically not been materially affected given our industry's exemptions in free trade arrangements. However, of course, we're monitoring it and believe we are well prepared to take actions to mitigate any impact to our business as a result of future policy developments. With that, I'll turn it back over to Russ to wrap things up.
Russell Ford: Thank you, Dan. Bringing it all together, 2024 was a record year with exceptional growth driven by robust momentum in commercial aerospace, the expansion of repair capabilities within CRS, major new business awards and progress on strategic investments in our high-growth platforms. As we look ahead, we're excited for what's to come and we're confident we have the right strategy and positioning in place to capitalize on the strong market demand and the opportunities we are seeing. Thank you, again, for joining us today. And with that, operator, we're now ready to move to questions and answers.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Seth Seifman with JPMorgan. Please proceed.
Seth Seifman: Hey. Thanks very much, and good afternoon.
Russell Ford: Hey, Seth.
Seth Seifman: I wanted to kick off asking about the growth in commercial aero, the kind of strong low-double-digits to mid-teens and kind of the contributions there. If we think about in rough terms, LEAP, I imagine small at this point, but also CFM56 and this new CF34 agreement. And then, anything else in kind of the broader environment, whether it's more material becoming available or higher demand or pricing or what's kind of driving that robust growth?
Russell Ford: Yes. Thanks, Seth. We see really strong growth for as far forward as we can see in the commercial area. And if you look at it by platform, which is how we do our build up, we see CF34, which has been a really strong platform for us for more than a decade, is growing quite strong along with our turboprop segment, which is also quite large, is growing very healthy. CFM56 is going to be the largest revenue growth platform for us in 2025, although it's going to be biased more towards the end of the year. And then as you indicated, LEAP is not yet a big revenue driver because this year is really our first PRSVs and we're still industrializing, but we'll still see pretty healthy growth there and the pipeline looks really strong. So on the commercial side, that's what we're seeing, including robust demand on attractive CRS component repair work that feeds into the commercial sector is driven by that. And then on our business aviation side, we still see increasing volumes on some of the flagship products, like the HTF7000, where we're the exclusive heavy MRO provider, as well as PW300s and PW500s that are powering the latest super midsized types of aircraft. So overall across the end markets, we're seeing very robust maintenance demand.
Seth Seifman: Okay. Excellent, excellent. And then just as a follow up. Maybe, Dan, on the cash flow, I know there was some working capital build last year, I think a little over $100 million. Can you talk about what's sort of plugged into the cash flow guide for this year from a working capital perspective?
Dan Satterfield: Yes, you're right. We did build working capital this year in advance of growth. And there'll be some incremental working capital build. For you to think about it going forward, working capital is always going to be about 25% of revenue. But next year, there'll be some of that, in particular, on the back end -- sorry, the front end of the year as it relates to getting ready for the LEAP and CFM56 demand.
Operator: Thank you. Our next question comes from the line of Sheila Kahyaoglu with Jefferies. Please proceed.
Sheila Kahyaoglu: Good afternoon, guys, and thank you so much.
Russell Ford: Hey, Sheila.
Sheila Kahyaoglu: Superb results and great execution as well. So I just wanted to ask maybe something that investors are going to have top of mind tomorrow as Delta pre-announced negatively. One of the questions we're getting is, how do maintenance trends and aftermarket trends work out if we see airlines cutting capacity or seeing consumer confidence weakness? So any thoughts, Russ, as you guys have done this for a very long time on your -- on the StandardAero business and how it tends to do as we see volatility with the airlines?
Russell Ford: Yes. Thank you, Sheila. That's one of the beauties of the part of the value chain where we operate is, there's a dampened or a delayed effect to any changes in flight operations on the commercial side and military. Most of the work that we do on maintenance is as a result of flight hours that have already occurred. So we don't see an immediate disruption anytime that there's volatility with normal flight loading or flight frequency or op tempo. So for us, we feel very, very confident about the forward-looking plans that we have for 2025 based upon what we can see.
Sheila Kahyaoglu: How much of your business is already in the backlog or through long-term contracts, would you say?
Dan Satterfield: Yes. I mean the -- our long-term contract, that's still about the 77% that we've disclosed before, where we have long-term agreements with customers. That's great because it gives us great visibility towards the future and that number is about -- is going to stay about the same. And of course, it will increase as we have our LEAP business, right?
Russell Ford: And backlog -- Sheila backlog varies by end market, it also varies by platform type. So you'll see things like CF34 that's a more mature program. We have very deep backlog there. We have very deep backlog on our military part of the business and growing backlog on LEAP.
Operator: Thank you. Our next question comes from the line of Ken Herbert with RBC Capital. Please proceed.
Ken Herbert: Yes. Hi, good afternoon. Hey, Russ.
Russell Ford: Hey, Ken.
Dan Satterfield: Hey, Ken.
Ken Herbert: Yes. Hey, Russ. Wanted to see you called out -- you signed up nine customers for LEAP service contracts. How do we think about that progressing through this year? And maybe how do we think about that $1 billion in sort of revenue opportunity growing as we think about continuing to hear a number of airlines that have RFPs out for their sort of LEAP service work?
Russell Ford: Yes. Thank you, Ken. What we're seeing on LEAP is the pipeline is actually looking better and better as we go forward because what we're finding is two things. Number one, a lot of the maintenance on these engines is moving to the left. So we're seeing maintenance requirements come in earlier, lighter work scopes like we call them CTEMs, Continued Time Engine Maintenance events. So we're seeing more of those, but in the near term. But coupled with that, we're seeing airlines who got large orders for new aircraft, new engines, they recognize that they really need to have maintenance lots locked up for these things. And so we are contracting. Our pipeline has quite a number of RFPs out there that are for events that don't start for another four or five years, but then continue on for 15 years. So it's not so much of a transactional environment like you might see on a more mature platform because there's a limited number of people out there that can do LEAP work and can even more so can do LEAP repairs. So people are locking up -- wanting to lock us up early for these long-term contracts. So we're actually very excited about the pipeline that we're engaged in for LEAP. I mentioned last quarter that we had a lot of optimism about that. And now fast forward into the new year and the pipeline looks even stronger. So -- and we're very well positioned with our CBSA license to be able to put forward compelling RFPs around the world. If you look at where the customers are that we've won so far, they are literally around the world, it's not just North America.
Ken Herbert: Well, that's helpful. Thanks. And you called out the CFM56 is perhaps one of the bigger growth drivers in '25. Can you talk about where you are today in terms of turnaround times on that engine? What kind of improvement sort of the '25 guide embeds? And when do we maybe hear about an initial contract for the 5B on that engine. Thank you.
Russell Ford: Yes. Thanks, Ken. Turnaround times continue to come down across all of our platforms, not just CFM56. But we made very good progress. And I think that's driven by some of the work that we've done over the last two years to increase the ability for us to find used serviceable material and bring it to bear for those parts that have traditionally been long lead time or shortage type parts. We also continue to invest and expand in our component repair business, which gives us access to extending life, repairing, returning to new some of these other components that may be hard to find. So that activity is really paying off so that as the supply chain continues to improve and there is investment there, the OEs are investing a lot of money there, but we want to move faster than that. And so that's why we've augmented this with USM and with repair development. And as a result, we're seeing the benefit of that with our turn times coming down back to where they were in 2019 timeframe.
Operator: Thank you. Our next question comes from the line of Gavin Parsons with UBS. Please proceed.
Gavin Parsons: Thanks, guys. Good afternoon.
Russell Ford: Hey, Gavin.
Gavin Parsons: Yes. You mentioned the margin dilution from the LEAP and the CFM56 ramp-up. So I was hoping you could give us just a sense of how much dilution you're offsetting this year and whether 2025 is peak headwind?
Dan Satterfield: Yes. I mean this year, we talked about the investment in LEAP and then, of course, that includes some start-up losses that are really a cash flow item, not an earnings item for adjusted EBITDA. Next year, we're going to, of course, see the significant growth. Our largest single platform that's growing will be CFM56, followed by very closely TPAF program and LEAP. LEAP will continue to have industrialization losses, which is be a cash headwind, but zero EBITDA, but significantly less than in 2024. CFM56, really negligible. But of course, that's going to have a little bit higher margins than LEAP in 2025. But with the growth on those programs and their margins being still in the low -- very low single-digit range, that's where the dilution is come from. If you take those two programs out, ES has got nice basis points growth year-over-year.
Gavin Parsons: Great. That's helpful. And then just any sense of price versus volume and driving revenue growth this year?
Dan Satterfield: Yes. We really don't talk about volume. We don't disclose shop visit volumes, but we are seeing price growth in line with our industry. The component repair market is particularly where we're seeing attractive pricing opportunity and that's an initiative for us going forward. On the volume side, difficult to call out a shop visit number. I know people would like to, but because we have such diversified shop visit types across our platforms and variation in work scope mixes, that's why we don't call out that specific value. But we are seeing significant volume. We saw it this year and, of course, next.
Gavin Parsons: Thank you.
Operator: Thank you. Our next question comes from the line of Greg Dahlberg with Wolfe Research. Please proceed.
Greg Dahlberg: Hi, good afternoon. I'm on for Miles. One quick one here. So you mentioned M&A as a strategic priority for 2025. I'd imagine CRS is a big focus there. Just curious if you could comment on the pipeline of opportunities you're seeing. And I'd imagine that's a competitive area. Have valuations expanded from recent deals you've done?
Alex Trapp: Hey, Greg. It's Alex. So I mean, certainly, we've discussed our enthusiasm about CRS acquisitions, given our past success and just the accretive nature of those types of companies and our ability to integrate that into our large CRS segment as a platform. So definitely interested in there. We're not giving specifics necessarily on things that are in the works, but we are always in the market, of course, and looking at potential deals where we're the right buyer for a business. So we have a tracker. We've got a lot of opportunities in there, some organic, some likely formal processes. Many are actionable between now and the next couple of years. And obviously, M&A is going to continue to be part of our value creation playbook.
Greg Dahlberg: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Doug Harned with Bernstein. Please proceed. Doug, are you there? All right, I'll go to the next question. Our next question comes from the line of Krista Friesen with CIBC. Please proceed.
Krista Friesen: Hi, thanks for taking my question. Maybe just a follow-up on the last one there. As you think about M&A, how do you think about the time to integrate and how quickly you can do M&A deals?
Alex Trapp: Yes. So historically, we've been pretty good about keeping pace on formal processes and those usually are where you really have to work hard to keep pace with other buyers. On the more organic step, we can take our time a little bit more. But we've been -- we've done a good job, I think, historically keeping pace with your typical formal process. So that's the timeline on M&A process. On integration, it kind of depends on the deal, right, the size of the deal, the complexity of how many different kind of work streams that gets touched, especially with a kind of a highly synergistic opportunity. So I think it ranges from sort of six to 24 months, just depending on the size and complexity.
Krista Friesen: Okay, great. And then just one other question. You touched on it in your prepared remarks about tariffs and how you're not typically impacted. But is there anything that you're hearing that's maybe a little bit different this time around, possibly from your customers or just internally?
Russell Ford: No, we're not. And we're -- and Krista, just to be clear, we've done a complete contract review. We're carefully monitoring all of the tariff proposals that are out there. You know, everyone in knows it's a fluid situation, but we are aggressively on top of this for any type of potential impacts. And we are prepared to respond to a multiple of different scenarios. We are and will continue to be in compliance, which is the most important thing with all of the customs and regulatory requirements. Historically, aircraft engines and components are within the USMCA duty-free treatment and we expect that to continue. We've got multiple outside experts that are looking at these agreements to make sure that nothing significant has changed or is likely to change. So obviously, we will keep very close taps on this.
Krista Friesen: Great. Thank you. Congrats on the quarter. And I'll jump back in the queue.
Russell Ford: Good. Thanks, Krista.
Operator: Thank you. There are no further questions at this time. I'd like to pass the call back over to Russell Ford for closing remarks.
Russell Ford: Okay, very good. Thank you, Alicia. Really appreciate everyone joining us today. We also appreciate your investments and support in StandardAero. We will continue to be good stewards of your investment. We look forward to speaking with you again next quarter and continued progress as we move through the year. Thanks, everyone.
Operator: That concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.